Operator: Greetings, and welcome to the Drilling Tools International Third Quarter Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce Ken Dennard. Thank you. You may begin.
Ken Dennard: Thank you, operator, and good morning, everyone. We appreciate you joining us for Drilling Tools International's 2025 Third Quarter Conference Call and Webcast. With me today are Wayne Prejean, Chief Executive Officer; and David Johnson, Chief Financial Officer. Following my remarks, management will provide a review of third quarter results and 2025 outlook before opening the call for your questions. There will be a replay of today's call that will be available via webcast on the company's website at drillingtools.com. There will also be a telephonic replay -- a recorded replay, which will be available until November 14. Please note that any information reported on this call speaks only as of today, November 7, 2025. And therefore, you're advised that time-sensitive information may no longer be accurate as of the time of any replay listening or transcript reading. Also, comments on the call will contain forward-looking statements within the meaning of the United States Federal Securities laws. These forward-looking statements reflect the current views of DTI's management. However, various risks and uncertainties and contingencies could cause actual results, performance or achievements to differ materially from those expressed in the statements made by management. The listener or reader is encouraged to read the annual report on Form 10-K, quarterly reports on Form 10-Q and current reports on Form 8-K to understand those risks, uncertainties and contingencies. Comments today will also include certain non-GAAP financial measures, including, but not limited to, adjusted EBITDA and adjusted free cash flow. The company provides these non-GAAP results for information purposes, and they should not be considered in isolation from other directly comparable GAAP measures. A discussion of why we believe these non-GAAP measures are useful to investors, certain limitations of using these measures and reconciliations to the most directly comparable GAAP measures can be found in the earnings release and our filings on the SEC. And now with that behind me, I'd like to turn the call over to Wayne Prejean, DTI's Chief Executive Officer. Wayne?
R. Prejean: Thanks, Ken, and good morning, everyone. I will provide some opening remarks before handing the call over to David to review the financials and our reaffirmed 2025 outlook. I'll then come back and provide a few additional thoughts before we open it up for questions. We are pleased to report that our 2025 third quarter results came in better than we anticipated. Proactive communications with customers and our ability to flex pricing options in response to commodity price swings have successfully stimulated higher activity levels during the quarter, offsetting the impact of any previously negotiated pricing concessions. We also demonstrated strong financial discipline during the quarter by simultaneously reducing debt, building cash reserves and returning capital to shareholders through buybacks. Specifically, we paid down $5.6 million in debt, increased our cash position by $3.2 million and bought back an additional $550,000 of common shares. DTI has benefited from solid progress on our strategic initiatives, particularly the integration of our recent acquisitions in the Eastern Hemisphere. During the third quarter, we saw a significant increase in utilization of the DNR tool fleet in the Middle East and throughout the Eastern Hemisphere. This increase and DNR tools deployed contributed to our Eastern Hemisphere growth and Middle East expansion during the quarter. Year-over-year, our Eastern Hemisphere operations grew revenue by 41% and contributed approximately 15% of our total revenue in the third quarter. The Eastern Hemisphere is performing in line with our forecast plan, demonstrating our disciplined approach to capital allocation and our ability to successfully integrate new assets into our operations. Looking forward, commodity prices continue to flex as geopolitical uncertainty has enhanced volatility in oil and gas markets. However, average rig counts and activity levels appear to have stabilized during the quarter. In as much, our teams continue to skillfully manage their current fluctuations in commodity prices and rig counts delivering resilient financial results while navigating this evolving energy landscape. Again, while the rig count appears to be stabilizing, we still expect uncertainty to continue causing disruptions through both pricing pressure and utilization. To combat these disruptions, we implemented a cost-cutting program in the first half of 2025 to reduce expenses by an annual $6 million in order to align our spending with the activity levels of our customers. However, we have experienced an increase in customer activity that has directly offset price discounts, particularly in our DTR product line as well as new contract wins with customers. Therefore, we are pleased to report that we no longer anticipate needing the full $6 million of cost cuts to maintain adjusted free cash flow and achieve other outlook ranges. Our pricing strategies that we have implemented are yielding positive results on activity levels, and we currently believe $4 million of cost cuts will prove sufficient for 2025. Please note, however, that we still have contingency plans to adjust the organization while maintaining operational flexibility to quickly respond to any market events in the future. David will now take you through some third quarter and 9-month metrics as well as our 2025 outlook. David?
David Johnson: Thanks, Wayne. In yesterday's earnings release, we provided detailed third quarter and 9-month financial tables. So I'll use this time to offer further insight into specific financial metrics. Looking at our third quarter results, we generated total consolidated revenue of $38.8 million. Third quarter tool rental revenue was $31.9 million, and product sales revenue totaled $7 million. Net loss attributable to common stockholders for the third quarter was $903,000 or a loss of $0.03 per share. And adjusted net income was $751,000 or adjusted diluted EPS of $0.02 per share. Third quarter adjusted EBITDA was $9.1 million and adjusted free cash flow was $5.6 million. Additionally, our capital expenditures in the third quarter were $3.5 million. If activity stays level, we expect CapEx to be relatively flat for the fourth quarter. Looking at maintenance CapEx for the third quarter, it was approximately 10% of total revenue. As a reminder, our maintenance capital is primarily funded by tool recovery revenue, which keeps our rental tool fleet relevant and sustainable regardless of market trends. As I say each quarter, we will continue to review all CapEx spending with an eye on activity levels while demonstrating our ability to generate adjusted free cash flow. As an update on our capital allocation strategy, we are constantly evaluating opportunities to strategically deploy capital with the sole focus of maximizing value for our shareholders. I am pleased to announce that during the third quarter, we paid down $5.6 million in debt, increased our cash position by $3.2 million and bought back an additional $550,000 of common shares at an average of $2.09 per share. As of September 30, 2025, we had approximately $4.4 million of cash and cash equivalents and net debt of $46.9 million compared to $1.1 million in cash and cash equivalents and net debt of $55.8 million at the end of the second quarter. We will continue to prioritize financial strength through a disciplined capital allocation strategy by utilizing all of the tools at our disposal when opportunity presents itself. Looking at our geographic segment mix, we continue to benefit from our diversified geographic footprint and customer base with 15% of our total revenue coming from our Eastern Hemisphere segment. We continue to expect gradual improvement in this area with additional product sales and rental opportunities as rigs are added back in the Middle East and customers' existing inventories are depleted. The Eastern Hemisphere segment has helped offset some of the activity declines in North America by contributing to our overall positive trajectory throughout the first 9 months of the year. Before I turn to our outlook discussion, let me recap the results of our first 9 months. Nine-month revenue totaled $121.1 million, adjusted EBITDA was $29.2 million, capital expenditures were $16.1 million and adjusted free cash flow during the first 9 months of 2025 was $13.1 million. Our team continues to execute well across multiple fronts from operational efficiency to customer satisfaction to strategic initiatives. As we disclosed in yesterday's earnings release, and as Wayne mentioned earlier, we are maintaining our 2025 full year guidance ranges, albeit leaning at or slightly above the midpoints of these ranges based on our past 3 quarters' positive results. 2025 revenue is expected to be in the range of $145 million to $165 million. Adjusted EBITDA is expected to be within the range of $32 million to $42 million. Capital expenditures are expected to be between $18 million and $23 million. And finally, we expect our 2025 adjusted free cash flow to range between $14 million to $19 million. In the long run, we believe we can position ourselves to improve our consolidated margin profile over time as we continue to manage our cost structure and add scale. The strategic acquisitions to our portfolio are positioning us for international growth and are also providing valuable synergies that will benefit our long-term growth trajectory. That concludes my financial review and outlook section. Let me turn it back over to Wayne to provide some summary comments.
R. Prejean: Thank you, David. We are continuing to make substantial headway on our synergy program called OneDTI. Our OneDTI program has been onboarding all our operating divisions onto the same systems and processes and integrating the acquired business units to our Compass platform to manage assets and customer transactions. As I mentioned on our last call, we relocated our U.S. Drill-N-Ream repair facility from Vernal, Utah to Houston, Texas, and it is now fully operational. This strategic relocation came 2 years ahead of schedule and is delivering expected cost savings and efficiency benefits. Additionally, we expect to have integrated all Eastern Hemisphere operations into one centralized accounting platform by the end of December, going live in January of 2026. This is a major milestone for the growth potential of the company as it streamlines workflows, maximizes accountability and importantly will accelerate the integration of future acquisitions into the DTI platform much more quickly. And of course, we continue to be actively looking at M&A opportunities. So before we open up the lines for questions, I would like to highlight the following. We remain upbeat about our prospects for the remainder of 2025 and into 2026. While the activity declines to date have not been quite as severe as we initially anticipated 7 months ago, we have demonstrated that we can quickly adapt to a rapidly evolving market, preserve our financial strength and deliver meaningful shareholder value. We continue to see opportunities in our core markets. Our competitive position remains strong, and the acquisition integrations are positioning us well for sustained growth. We are confident that elevated demand for complex wellbore solutions will further strengthen the need for our differentiated technology and the value-added solutions we provide our clients across the globe. The foundation we've built through our strategic acquisitions gives us confidence in our ability to capitalize on emerging opportunities that broaden our geographic reach, diversify our revenue streams and serve our customers even more effectively in key markets. Our past M&A activity has enhanced our competitive position, increased our resilience in a dynamic environment and has positioned us to move quickly when new value-creating opportunities present themselves. We believe that our best-in-class performance-driven, technologically differentiated offerings, expanding global geographic footprint, combined with disciplined M&A activity will deliver solid results as energy markets recover in 2026 and beyond. In closing, I'm encouraged by the momentum we are building across the organization, and it's exciting to see how we have adapted and pushed ahead in a dynamic environment. We are seeing the benefits of our investments beginning to materialize, and our personnel continues to execute well in a rapidly changing global marketplace. I would like to thank every member of the DTI organization for their continuous dedication to working in a safe, inspired and productive manner. This commitment by our employees is critical in managing this volatile commodity cycle and is vital to our future growth and ability to deliver value to our shareholders. With that, we will now take your questions. Operator?
Operator: [Operator Instructions] Your first question comes from Steve Ferazani with Sidoti & Company.
Steve Ferazani: Appreciate the color on the call this morning.
R. Prejean: Sure.
Steve Ferazani: I want to break it down a little bit into U.S. versus Eastern Hemisphere. Obviously, 3Q, maybe the rig count didn't decline as much as a lot of people had anticipated. Nevertheless, it was still down about 5%. Can you talk about how you've -- how utilization has been for you? I mean when I look at your product sales, which is primarily drill pipe recovery, it held up very well. It was actually up sequentially in Q3. So you can talk about how the U.S. is holding up for you for your business and what we're still seeing maybe a moderating decline, but still a decline in 3Q?
R. Prejean: So thank you, Steve. This is Wayne. We've been working on a number of initiatives to mitigate this slow creep of rig count decline, but it was certainly a lot less of a decline than we tried to anticipate early on with all indications where it was going to be more sphere. We've participated in a number of RFQs and tenders in the North American market throughout the last few months, and we were able to win some business and maintain some of the business we had with existing clients. So that enabled us to maintain a very reasonable level of activity despite seeing a rig count decline. Now rig count decline means some jobs are not going to be available for the suppliers. So there seems to be a mix that occurs when that happens. And we were more successful, we believe, in maintaining or aggregating some of that business over that period of time. And I think that sells itself well because what we're able to do is our best-in-class products and service and the things that we do usually are successful when quality and service matter. And what happens in these down cycles, these operators focus specifically on who or what service suppliers and product suppliers are giving the best quality and service because they need that to translate into performance and results in their wellbores and less in those events. So our market-leading position and tools and the things we provide to all of these clients, that leading indicator for us prevail throughout this little -- the cycle that we're experiencing. So we're pretty proud of that. And our other product lines have held up pretty well. So overall, I think we feel like it's a win-win. We've outperformed the down cycle.
Steve Ferazani: Yes, no doubt, no doubt. We've seen the primary portion of the rig count decline was coming in the Permian, but we've seen some pockets of strength and/or stable drilling in other markets. Talk about your positioning because I know you have operations in every major U.S. basin. How that's helpful? And are you seeing an uptick in some of the markets outside of the Permian?
R. Prejean: So we're well positioned in every market out there and appropriately positioned for scale, size and capabilities, particularly in the Northeast, where our activity in Haynesville is where gas activity is holding strong, and you're seeing some light at the end of the tunnel. And as your -- you remember in some of our discussions, we were able to move tools around to service those markets fairly easily because of the type of business we have. So we've made sure that we've supplied those customers in those areas where the activity creates -- is created. And we keep those supply chains running smoothly.
Steve Ferazani: In terms of -- I know your guidance, you mentioned the seasonal slowdown through earnings season. We're hearing a lot of folks saying that it's not going to be as pronounced this year. What are you hearing from customers? I mean we're into early November. What are you seeing and hearing from customers so far as far as the normal seasonal slowdown in December?
R. Prejean: You mean in Q4?
Steve Ferazani: Yes.
R. Prejean: Well, it seems to -- it doesn't feel like it's accelerating. It feels like we're still a month away from someone having budget exhaustion and thinking they're going to drop a number of rigs, but we're not seeing an acceleration of that happening as of today. That doesn't mean it couldn't -- we couldn't see a more accelerated decline. But it feels like it's just flat to slightly down the rest of the year than some optimism going into next year, depending on which operator you talk to.
Steve Ferazani: That's fair. On the international side, I think you pointed out Middle East, Saudi strength. Can you provide a little bit more color on where you're seeing the stronger versus weaker areas versus your expectations 6 months ago or 12 months ago?
R. Prejean: Sure. I'll tell you, I spent the last week in the Middle East and there's definitely some optimism, and there are some detailed announcements where Saudi is picking up a few rigs from land and offshore. And ADNOC, I think, in UAE is also going to maintain an activity that's solid. The interesting thing is there's so much talk about the unconventional gas becoming more prevalent in both of those major operating areas being Saudi and UAE. So again, because of our experience and the types of tools and services we provide, we will be more and more successful in supplying those markets because we have all the experience here, and we've transferred a lot of the tools and technology and people that we have aligned there. We're ready to -- we're kind of ready to go in the unconventional uptick that's going to happen in those markets. So we're pretty -- feel pretty positive about that.
Steve Ferazani: Excellent. If I get one more in. You talked about the rental tools model and how you can generate cash flow in a down market, and you've proved it through the first 9 months. Your net leverage is basically flat from the beginning of the year. Your net debt is basically flat from the beginning of the year. And you've been able to buy back stock. I mean your net leverage is still very reasonable. Does that make you think you might get more aggressive on stock repurchase? Or how are you thinking about that given a very healthy balance sheet after going through several months of this slowdown or several years, you could say?
R. Prejean: Well, we continue to try to look at the 3 or 4 tools that are at our discretion to use for our free cash flow. And debt reduction is probably the primary one that we'll use. So it's kind of baked into -- remember, our stock buyback program is baked into some limitations on volume. So as that ebbs and flows, we'll take advantage of that. And we believe our stock is undervalued. And we'll use a portion of those proceeds to do that with those limitations. So I think it's more debt pay down, some stock buybacks and some selective CapEx purchases were needed, where we think the opportunities arise. And then as usual, we've got our -- we're laser-focused on M&A opportunities going forward.
Operator: Next question is Sean Mitchell with Daniel Energy Partners.
Sean Mitchell: Wayne, I know you were recently in the Middle East. Obviously, that drove a lot of your -- the Eastern Hemisphere drove a lot of the growth. Can you talk a little bit about lessons learned from your acquisitions in the Middle East and maybe the opportunity set going forward? I know you said you're looking hard, but is there specific countries or regions that you're really going to be focused on? And then maybe even the opportunity set on the M&A front in the U.S.?
R. Prejean: Yes, no problem. So historically, you could count on the international rig count, the international activity being NOC-driven, more longer-term different operating metrics there, driven by those NOCs for longer-term objectives. And so the rig count is usually stable. But we had a little outlier event when Saudi dropped a bunch of rigs here last year and kind of surprised. I think there was not a -- it was every surprised soul in the market was watching that with wonder. And -- but I think it was temporary, and I think the market is becoming more in balance, and we're hearing good -- we're good -- we're hearing some positive indications that they're going to pick up some rigs next year and reimplement some drilling programs that they had recently idled. So that's good news. But the remaining part of the international market was relatively flat. I mean with -- but for a few ebb and flows that naturally occur. We're seeing -- the enthusiasm around that show at ADIPEC is it's really an international oil show. It's amazing how many people throughout the world attend that show. And it's not just specifically focused on the Middle East. So there's a lot of enthusiasm around what's happening in the Eastern Hemisphere. And we're glad that we're strategically positioned to be a part of it. To answer your question about our acquisitions, the lessons learned is make sure we stay focused on executing on those. And -- but for the Saudi downturn of -- recent downturn activity, but hopefully pick up in the future, that would be the outlier on some of our acquisition execution expectations.
Operator: I would like to turn the floor over to Wayne Prejean for closing remarks.
R. Prejean: All right. Thank you, everyone, for your interest in listening. We continue to be focused on executing on our international expansion. And we've got a lot of resources focused on making that happen. We have a solid team here, a well-old machine here in North America that continues to be a market leader and perform well in a challenging market environment, but we see optimism on the horizon as well, and we'll continue to deliver solid financial results throughout this continuous cycle that we're experiencing. We have optimism for 2026. So thank you for your interest, and we look forward to the next call.
Operator: This concludes today's teleconference. You may disconnect your lines at this time, and thank you for your participation.